Stuart Ford: Good morning, everyone, and welcome to IHG's 2020 Full Year Results Call. I'm Stuart Ford, Head of Investor Relations at IHG, and I'm joined this morning by Keith Barr, our CEO; and Paul Edgecliffe-Johnson, our CFO and Group Head of Strategy. Just to remind the listeners on the call that in the discussions today, the company may make certain forward-looking statements as defined under U.S. law. Do please refer to this morning's announcement and the company's SEC filings for factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements. 
Keith Barr: Thanks, Stuart, and good morning, everyone. Before I get into our presentation, I wanted to first take a moment to recognize the very sad news of Marriott's CEO, Arne Sorenson's, passing last week. Anyone who knew him or heard him speak will know how passionate he was about our industry and his company. He was an inspiring individual to so many people. It was a privilege to have known him, and it goes out saying that he will be greatly missed. The thoughts of all of us here at IHG are with his wife and his children, and of course, everyone at Marriott. Over the last year, the COVID-19 pandemic has presented our business and indeed the entire travel and tourism industry with its biggest challenge ever. From the beginning, our aim has been to act quickly, effectively and responsibly for all of our stakeholders. We've taken steps to significantly reduce costs, preserve cash and maintain substantial liquidity to support our conservative balance sheet approach. We've implemented new safety and cleanliness procedures to protect colleagues and guests, increased resources and support for our teams working remotely, accommodated frontline workers in our hotels and helped the vulnerable in our communities. And we've worked hard to support our owners and their cash flow with new operating standards, fee discounts and flexible payment terms. So much important work has been done, and it's taken an incredible team effort in close collaboration with our owners, partners and colleagues to achieve it all. The impact of travel restrictions and physical distancing measures around the world meant demand fell to the lowest levels we've ever seen, with global RevPAR down 52% for the year. This led to a 75% fall in underlying operating profit. While the effect in our business has clearly been severe, we've also shown resilience, continuing to outperform in key markets and segments driven by our business model, our weighting to domestic demand, portfolio mix and the strength of our brands. The decisive actions we took to reserve cash throughout the crisis meant that our free cash flow was $29 million inflow in the year with a $95 million inflow in the second half. This contributed to closing the year with $2.9 billion of total available liquidity or $2.1 billion on a pro forma basis for the forthcoming repayment of the CCFF. However, with visibility still remaining limited as to the pace and scale of market recovery, we are not proposing a final dividend today. Our focus remains on ensuring we are ready to grow strongly as demand returns. Through 2020, momentum for our brands continued with 285 openings and 360 signings, 1/4 of which were from conversions.
Paul Edgecliffe-Johnson: Thank you, Keith, and good morning, everyone. Firstly, starting as usual with our headline results from reportable segments. Revenue decreased 52% to $992 million, and operating profit decreased 75% to $219 million. Excluding the impact of system fund recognition changes which we announced in December, revenue would have been $20 million lower and operating profit, $21 million lower. On an underlying basis, the revenue decrease was also 52%. Underlying revenue from the fee business decreased 45%, and operating profit reduced 65% driven by the adverse mix effects of weaker performances in the managed business. As a result, fee margin decreased to 34.1%. The operating profit performance reflects the decline in the fee business, together with the impact of the owned, leased and managed lease estate, which went from a $52 million profit in 2019 to a $59 million loss this year. This reflected the majority of these hotels being closed throughout 2020 with those that remained open operating at very low occupancies. Operating profit on a reported basis included the system funding year deficit of $102 million and operating exceptional items of $270 million. The exceptions predominantly comprised the impairments already taken in the first half of the year. These are detailed in the appendix. Adjusted interest, including charges relating to the system fund, reduced by $3 million to $130 million. Our effective tax rate of 38% differs from our previous mid-20% guidance range, largely due to a significantly reduced level of profit before tax, which resulted in unrelieved foreign taxes and other nontax deductible expenses. We estimate our effective tax rate for 2021 to be similarly elevated, though forecasting in this area remains challenging given the sensitivities in the calculations and the uncertainties in the near-term outlook. In aggregate, this performance has resulted in an adjusted earnings per share of $0.313. Looking now at our drivers of performance. Group RevPAR was down 63% on a comparable basis. Our RevPAR definition includes the adverse impact from hotels that were temporarily closed. The travel restrictions and physical distancing measures in our key markets around the world contributed to an occupancy decline of just under 30 percentage points, with rates down 17%.
Keith Barr: Thanks, Paul. I'd like to spend some time looking at the fundamentals of our industry and why, despite historic lows we saw last year, the longer-term attractive growth characteristics remain unchanged. Prior to COVID-19, our industry saw a decade of consecutive growth with the overall travel and tourism sector outpacing the global economy. The market also continues to shift to brands of scale. The top 3 branded global players, of which IHG is one, now have 17% of the open rooms globally, and notably, 43% of the active pipeline. This means we will continue to collectively take share and increase our relative scale against the rest of the industry. The resilience of our mid-scale and upper midscale segments, which represent around 70% of our system and pipeline, is undeniable. In the 4 years prior to 2020, the segment contributed around 40% of the overall branded industry growth, and we've consistently seen that in periods of weaker demand, RevPAR in these segments fall less than the industry overall. So as economies rebound and populations continue to grow, the inherent desires and need to travel return. We also expect that the pandemic will have accelerated trends such as the importance of seamless technology and a growing preference for sustainable practices, both key priorities in our strategy. As a business, we entered 2020 in a strong position, having strategically accelerated our rooms growth through the investments made in our brands, guest experience and owner offer. This leaves us well placed to capitalize on strong industry fundamentals. Before I move on to our strategy, I want to take a moment to talk about our purpose. The experience through COVID-19 has outlined the importance of purpose, giving new meaning to our potential to effect positive change and highlighted the growing expectation that we must deliver change in a challenging world, which is why we evolved our purpose from true hospitality for everyone to True Hospitality for Good. We remain committed to looking after all those we interact with, but now more focused on the difference we can make to our people, guests, communities and the environment. As we look to the future, our ambition to deliver industry-leading net rooms growth remains our unwavering focus, which means continuing to leverage our scale, expertise and systems in order to grow our brands in the industry's most valuable markets and segments. To help us achieve this, we will work as a business toward 4 strategic priorities that place an even sharper focus on our services, products, returns and reputation. The first, building loved and trusted brands. Since 2017, we've added 5 brands to our portfolio and invested in our existing brands to create a much richer offer. Each brand sits in a high-value segment and caters to a different stay occasion, which ultimately drives growth. You may have seen recently the change we've made to present our brands in 4 collections: luxury lifestyle, premium, essentials and suites, alongside a refreshed branding for our loyalty program, IHG Rewards. This is a more intuitive way to present the breadth of our portfolio to customers and forms part of our refreshed approach to use the IHG hotels and resorts master brand to more prominently enhance our brand reputation, sharpen our marketing, help us capture a greater share of demand. So let me go into each of our brands in a little more detail. First, our newest organic brands, which are all rapidly scaling up. Our extensive expertise in the midscale and upper midscale segments have enabled us to successfully launch 2 brands in these resilient and high-growth areas, avid and Atwell Suites. We expect avid to be our next brand of scale. It's low-cost to build and operate, together with its competitive price point make it attractive to owners and guests, and its appeal is likely to increase in a strained economic environment. Almost 90 hotels are under construction or have plans approved, and we expanded beyond the U.S. during the year with our first opening in Mexico and first signing and ground break in Canada. In the upper midscale segment, our all-suites brand, Atwell Suites, is also gaining momentum since launching in late 2019 with 19 signings in vibrant locations and construction underway on our first property in Miami. After a successful start in EMEAA, we launched voco, our upscale conversion brand, in both the Americas and Greater China in 2020, the fastest pace at which any of our brands has gone global.  And we're on track to grow to more than 200 hotels within 10 years. The voco brand is now secured in more than 20 countries, from resort to all-suite properties, and represented 13% of our 91 conversion signings in 2020 with all the other conversions being across our other brands. Notably, the pace in which hotels are converting to our systems, a key part of the voco offer is really helping owners maximize their returns and quickly benefit from our global scale. Take the voco Franklin in New York, signed during the pandemic and opened just 3 months later. Guests love the brand, too. Hotels are seeing increased guest satisfaction scores. For example, the voco Paris, seen here, which signed and opened in 2020, saw double-digit uplift postconversion. Turning now to our established brands, which are driving the performance we see today. Our Holiday Inn Express brand is a key growth engine of our business, and we continue to invest in it to ensure it remains the preferred choice in its segment for our guests and owners. Last year's launch of our evolved Formula Blue public space and guest room designs in the Americas will help owners better maximize their returns with a new purchase-ready format, leveraging our procurement scale and delivering a cost savings of more than 10% while in Europe, we're already seeing uplifts in guest satisfaction from the new room design that continues to roll out. The strength of the brand combined with the weighting of our distribution to nonurban locations and domestic demand led to Holiday Inn Express outperforming its segment in the U.S. through 2020. And with 132 signings, the pipeline represents over 20% of the current system size with the strong growth outlook in all regions. Moving now to our other established brands. Last year, Candlewood Suites and Staybridge Suites delivered occupancy levels of around 60%, made market share gains and achieved high customer satisfaction scores. These brands offered a great option to guests needing longer stay away from home during the pandemic. Our new prototype designs, which offer owners lower billed and operating costs, are committed in over 80 Candlewood Suites and more than 100 Staybridge Suites.  Momentum for the brands continued with 25 signings across both, including a second property in Dubai for Staybridge Suites and its first in Bangkok. In Greater China, we opened 3 HUALUXE properties, including a rebranding in Shanghai, and we grew the estate of our wellness-focused brand, EVEN Hotels, to 16 with the first opening outside of the Americas in Nanjing, Greater China. Our new-build Holiday Inn prototype, which brings fresh and modern designs to our hotels across the Americas, is implemented in around 90 hotels and delivering a 5-point uplift in guest satisfaction. And in Europe, our Open Lobby concept is being adopted in 90% of the estate, generating meaningful uplifts in guest satisfaction and increased food and beverage revenue for owners. For Crowne Plaza, we opened 19 properties in the year, 10 of which were in Greater China, marking the 100th for the brand in the region. We added 27 new signings, around 1/4 of which were from conversions, and we saw good increases in guest satisfaction scores at properties that have completed renovations to their public spaces and guestrooms. Our ambition to deliver industry-leading net rooms growth comes at the same time as ensuring we protect the reputation of our brands and the consistent, high-quality nature of the portfolio. From 2016 to 2019, our gross openings increased from around 5% to almost 8%, whilst our continued focus on quality led to hotel removals of 2% per year. In recent years, those exits have included a larger proportion of Holiday Inn and Crowne Plaza Hotels in the Americas, which reflects our continued focus on increasing the overall quality of those brands. Both are powerful global brands with significant further growth prospects. But to support this, we know we've got to continue delivery against the high guest expectations for quality and consistency, which should become even more important with COVID-19. Across the 2 brands, we have a global -- total global state of around 1,700 hotels. There are around 200 that are currently being reviewed, focused on those that are below where we'd like them to be in areas such as customer satisfaction and property condition. Those hotels generated 2020 fee income of approximately $20 million. At a time of lower demand, we'll be working very closely with these hotel owners to improve the overall guest experience, including through the implementation of service or property improvement plans. We are confident this will support IHG being well placed for the industry recovery and ensure long-term sustainable growth. I'll now focus on our luxury and lifestyle collection and the opportunities we see across these 5 brands, which cater to uniquely different stay occasions. In the year, we opened 32 hotels, and now a portfolio of 431 properties in over 70 countries, from urban to resort locations, as owners continue to recognize the long-term attractive returns that assets in the segment offer. Last year, we signed 56 hotels into the pipeline. And of these, around 30% were conversions, which represents a growing opportunity across the portfolio. Taking each brand in turn. We signed 7 properties for Six Senses, including in Italy, Japan and Saudi Arabia, taking the global pipeline to 31. Since we acquired Regent, 4 properties have been signed, taking the pipeline to 6, with a further 7 open. You'll also recall that we're renovating the InterContinental Hong Kong as part of a rebrand back to Regent, intending to open in 2022, making the hotel a global flagship for the brand. We continue to reinforce the position of InterContinental as largest global luxury hotel brand. We've got more than 200 hotels in 60 countries, and we have reentered some key markets such as Italy and Morocco in 2020 through conversions of existing assets. More good progress was made with the international expansion of our Kimpton brand, with new openings in Mexico, Thailand and Japan and strong signings in key resort locations such as Mallorca. We also added another 4 deals in the U.S. And the acceleration of our boutique Hotel Indigo brand continues at pace, with 10 openings during the year, 5 of which were in the U.S., and 22 signings. We now have 125 hotels open and a pipeline of over 100 across 35 countries. As you can see here, we continue to focus on enhancing our luxury and lifestyle offer for our guests and owners. Whether it be the pace of conversion, such as the Regent Shanghai Pudong, the brand's first opening since acquisition, which signed and converted in 45 days, or expanding into new markets, such as the Hotel Indigo Cyprus, one of the numerous debut locations for the brand. Moving on to our second priority, which is to really make sure that we are thinking like our guests and owners in everything we do, being even more customer-centric in the things we're working on. It's critical that we put our 2 set of customers, our guests and owners, at the heart of everything we do, operating with insight, making informed decisions. This will allow us to create the tailored services and solutions needed, increase demand, strengthen guest preference and deliver strong owner returns. We saw this come through from our response to COVID-19, which is shown by our guest satisfaction index being net positive throughout the year, outperforming our competitors. For our guests, a clean and consistent brand experience will continue to be paramount and our enhanced cleaning standards and operating protocols give them the confidence to stay with us. Since launching our IHG Clean Promise, which uses new science-led protocols in partnership with industry-leading experts, we have seen the number of positive third-party social media guest reviews on cleanliness increase by more than 30%. We understand that our guests need increased flexibility, which is why we launched our Book Now, Pay Later offer and free cancellations. For our corporate guests, we launched a new global Meet With Confidence offer, which provides clear safety protocols, greater flexibility on cancellations and is now embedding virtual and hybrid meeting solutions. Our IHG Rewards members traditionally account for around half of our guest days and proved to be the most resilient during the toughest COVID-impacted periods. We've made sure to look after them by protecting status and points expiry, and we enriched our offer with dynamic pricing for Reward Nights. This sets daily rates for hotels, enabling more than 80% of them to reduce their points pricing and offer 25% more value to guests outside of peak times. We also formed new loyalty partnerships and used our technology investments to offer more targeted and relevant promotions. When it comes to our owners, we have worked closely with them during these times of low demand to maximize their returns. As new safety and cleanliness protocols brings extra costs, we've worked with them to offset this by adapting operating standards elsewhere and delaying renovations, all whilst maintaining the high-quality guest experience. We've also offered flexible payment terms and utilize our scale to drive centralized food and beverage procurement savings, which we're going to extend into other categories of goods and services to deliver additional savings for our owners. Owners have also used our optimized revenue management tools to protect pricing and returns during periods of volatile demand. Our third priority is all about how we create digital advantage as a company. The dynamic environment requires organizations to rapidly enable new commercial propositions from the products offered, to the prices set and the channels in which we operate. Our focus on creating a digital advantage is vital to us enabling seamless technology experience across the entirety of the guest journey. This will drive direct bookings, create an integrated digital experience for our guests and delivers revenue-enhancing proposition to owners. Our investment in our cloud-based hotel technology platform, IHG Concerto, allows us to develop and roll out performance-enhancing tools faster and easier than ever before. The next phase of our guest reservation system, attribute pricing, is expected to be live across the estate by the end of this year, enabling a tailoring of stays and a selection of add-ons. Initial pilots in 2020 were conducted in each region, demonstrating to owners the ability to generate maximum value from their hotel's unique attributes. A seamless technology experience is also integral to the end-to-end guest experience. Leveraging IHG Concerto, we've been able to remotely and rapidly deploy technological developments to support a safe and secure guest experience and reduce unnecessary contact. Contactless check-in is receiving strong guest satisfaction scores and is live in over 1,000 hotels, while digital checkout is already live in 4,000 hotels. Linked to IHG Concerto, our owner-engagement portal provides real-time data on how their hotel is performing on a variety of different measures, most importantly, will suggest actions on how to improve performance. As we focus on maximizing returns in every way we can, we're also enhancing our hotel life cycle system to accelerate the time taken between signing and opening a hotel. The final priority area is how we care for our people, communities and planet. We have ambitious growth plans in the company, but equally important to us is how we grow. At IHG, we want to make sure we continue to work and grow within a culture that respects and invests in our people, embraces the opportunity to contribute positively to local communities and operates responsibly and sustainably in the world around us. Last week, we launched Journey to Tomorrow, our new 2030 responsible business plan, which starts a decade of new commitments. Starting with our people, it's crucial that we keep investing in our culture so we support, development and empower colleagues and attract new talent into the business. We're committed to driving gender balance and doubling underrepresented groups across our leadership, supporting all colleagues, prioritize their well-being and advancing human rights. In our communities, we want to improve the lives of 30 million people around the world by driving economic and social change through skills training and innovation, supporting our communities when natural disasters strike and collaborating to help those facing food poverty. And with such a global footprint and strong pipeline of hotels, it's vital that we work closely with our owners and partners to ensure we operate and grow in ways that protects the world around us. Our new environmental targets include lowering absolute carbon emissions in line with climate science across our owned, leased and managed hotels by 15% by 2030, and reducing carbon emissions per square meter from our franchise hotels by 46%. For new booked hotels, our ambition is that within 3 to 5 years, these will operate with very low or 0 carbon emissions and to maximize the use of renewable energy. We will also pioneer the transformation to a minimal waste hospitality industry. We're targeting a reduction of food waste through a prevent, donate, divert plan and circular solutions for major commodity items. We're also on track to deliver our pledge to remove single-use miniature bath amenities from our hotels by the end of this year. And we will use new tools to reduce the water footprint of our hotels and help secure water access to those in communities at greatest risk. We've done some important work in all these areas in recent years, and there is a real energy in the business to deliver on these commitments and an understanding of how important these elements are to all of our stakeholders. So to sum it up. Last year was like no other, and I want to express my thanks to all our colleagues and owners for their unrelenting efforts through the COVID-19 crisis. Their dedication in helping guests and communities around the world brought to life our purpose of True Hospitality for Good. We also responded quickly and decisively to protect the business, including our actions to reduce costs, preserve cash and increase liquidity, all whilst realizing some remarkable operational achievements. We delivered outperformance in 2020 and demonstrated the resilience of our business model, thanks to the strength of our teams and brands, the segments in which we compete and our weighting towards domestic demand. Voco rolled out globally at record pace, and we took our other brands to new markets. We also continue to invest in the business for future growth, including the pilot of attribute pricing. The shape of the recovery thus far has varied globally, and the near-term outlook still has challenges and uncertainty. Long-term confidence remains unchanged, and our owners share that view. That is reflected in another 285 hotel openings still being achieved in the year and an average of 1 new signing almost every day in 2020. We will need to be patient. But the industry fundamentals are strong, and we're well placed to gain further market share with our preferred brands in the largest and most attractive markets and segments, supported by an even stronger technology and loyalty platforms. Our clear strategic priorities will take IHG forward into the next stage of our journey and, as the market continues to recover, support our ambition of industry-leading net rooms growth. With that, Paul and I are happy to take your questions. Ruby?
Operator:  Our first question is from Bilal Aziz of UBS.
Bilal Aziz: Just 3 for me, please. Firstly, some of your U.S. peers have talked somewhat explicitly about units growth expectations for next year, and you typically outperformed the market and flagged the vision to do so. So how should we think about that either on a gross or net basis for next year, please? Secondly, just on the improvement plan you've highlighted 200 Crowne Plaza and Holiday Inn Hotels. I appreciate it's very early in that process right now. But what sort of reception have you received from the owners? I mean how long do you expect this process to take place, please? And lastly, just for the RevPAR sensitivity we should be thinking about for 2021 of $15 million. Can you please highlight if that's all relevant for the level of decline you're expecting for the year ahead with potentially some incentive fees in China looking a bit more promising?
Keith Barr: Great. Thank you very much. I will address the net unit growth expectations and talk more about Holiday Inn and Crowne Plaza, and I will let Paul talk about RevPAR sensitivity. And so I think if you think about on IHG and the journey we've been on and going back to kind of 2017 to 2019, we announced our strategy to accelerate our growth. And so you saw our gross openings go from around 5% to 8% and our net going from around 3% to the mid-5s. And so we had a very clear strategy to accelerate our growth during that time. And in fact, in 2019, of the big players, we opened up more hotel rooms than anyone else on a gross basis too but still committed to quality and having underlying reductions of around 2%. And we grew, though, at that pace with our existing ownership base of around 3,500 owners around the world. The vast majority of those owners in places like the U.S. are small business owners. Coming into 2020, we had a gross openings of around 4.5%, and then we had this normal removals in SVC. And our owners in 2020 have been incredibly focused as well with us on operating their hotels. Remember, most of our owners have 2 or 3 hotels with us. They're small businesses. And their focus in 2020 was really not on breaking ground, on the pipeline or necessarily that much signing new hotels with the -- and you saw that signings declining, it was really on running their business. And our conversation with the owners have been very positive. We signed nearly 1 hotel a day in 2020. But on a go-forward basis, we're very confident that those owners, which we saw from '17 to '19, will continue to sign and invest in IHG brands, accelerating our growth back to industry-leading, but we're in a bit of a transitionary period right now. So we've effectively slower ground breaks taking place in some markets, construction stopping in a number of markets and are reaccelerating that, too. And so we expect to see acceleration of growth, but really 2020 and 2021 are sort of transitionary years. The added impact there, as you noted, is going to be the Holiday Inn and Crowne Plaza improvement point. These are both exceptionally strong brands that have great growth potential across the entirety of the business. We have been very focused on improving them year after year and had some more removals in the U.S. in particular. And we have found about 200 hotels around the world currently aren't performing at the level that we would like, and we're going to be working with those owners very, very closely to improve performance. But just to put it in a bit of context, is those 200 hotels, on average, had lower customer satisfaction guests love score than the rest of the brand. And in fact, in 2019, they were more likely had their customer satisfaction scores go down when the rest of our brands went up. They tend to have lower market share, they tend to be older hotels and they tend to have had less adoption of some of the brand initiatives like Open Lobby and the Crowne Plaza renovation plans, too. Owners have received the conversations well. They recognize that we need to improve performance of the Crowne Plaza and Holiday Inn within these hotels for all of our owners as we have all these wonderful hotels around the world that are new prototypes of Holiday Inn and new Crowne Plazas being launched and being the leading brands in China and other markets. So ownership received it well. Clearly, there's going to be some impact on our system because not all of these hotels are going to be able to make the journey. We're not sure about how many. We wanted to flag what the numbers are upfront. But our intention is to work with these hotels, hoping that most of these hotels do not exit, but some clearly will, and we'll be giving you all an update more clearly in August at the half year about our progress initiative, too. So very confident about growth in the medium-term for the company. 2020, 2021 a transitionary year for a number of reasons we talked about, but very confident about the future. As we showed in 2017, '18 and '19, we could do it, we're very confident we can do that growth again in the future. Paul, do you want to pick up RevPAR sensitivity?
Paul Edgecliffe-Johnson: Sure. And thanks, Keith. So the RevPAR sensitivity on the franchise business is relatively straightforward if you're comparing it back against 2019, it's the $13 million that we've talked about. The sensitivity on the managed business and the owned really depends on how that recovery comes back and when and in which market. So we saw in 2020 that in total, it was about $15 million per point. But that's really just based on the shape of the trading across the year. So it might be the same in 2021, if you see almost a sort of a symmetrical recovery, then it would be the same. If it comes back faster or slower, then it will have a greater or lesser impact. So the $13 million is pretty well set. Whether it ends up being $15 million or $14 million, it's a little hard to say for now. So those are the sort of the parameters that we'll be operating within.
Operator: Our next question is from Jamie Rollo of Morgan Stanley.
Jamie Rollo: First question is perhaps a follow-on from the last one, just in terms of the opening profile. I get this year is going to be probably below the 5% to 8% pre-COVID range. But if we look out a few more years, given the findings in the fourth quarter were still down 1/3 and you terminated 10% of your pipeline, does that not overall have more of a sort of longer-term or medium-term effect on the openings even after 2021? And specifically, avid seems to have ground to a halt. The pipeline has not changed in a year. Are you still as confident in the addressable market for that brand? Secondly, on a dividend question. Could you please be sort of explicit on what financial metrics have to be in place for that to be resumed? Is it just a leverage number below 3x or the covenant waiver has got to go as well? Or is there a certain level of EBITDA we've got to think about? And then just the final one on -- you talked about a slightly lower mix of direct bookings. Could you give us your OTA mix in the year, if that's possible?
Keith Barr: Thanks, Jamie. I will pick up kind of the growth conversation, I'll let Paul pick up the dividend and then will come back on to the OTA piece as well, too. So I think overall from a growth perspective and you look at, Jamie, the strength of our ownership relations, particularly in the U.S. in that mainstream is what drove a lot of that acceleration in '17, '18 and '19. And clearly, we saw, as the industry did, a slowdown in signings in '20. And we'll see be probably, as an industry, slower signings in '21, and then an acceleration as we get into recovery. When owners move from running their businesses and trying to keep their businesses open to looking at signing new deals and breaking ground, those mainstream owners will come back, which will drive our performance going forward there too and as lenders get more confident. So in terms of the pipeline, I believe we terminated about 8,000 more rooms last year than the previous year. We did that mostly in the fourth quarter. We were looking at the pipeline to make sure what's the health of the pipeline. What's the likelihood of these deals taking place? We saw the U.S. pipeline remain fairly consistent in terms of terminations. We saw a little bit of an acceleration of terminations in China and EMEA. And the reason for that is a lot of those projects have really long-term run rates, as you would well know, Jamie, like the Crowne -- the InterContinental Shanghai Wonderland. It's been 10 or 11 years when we signed it to when it opened. But we now know some of those projects that were signed in those markets aren't going to take place. Maybe the development is not going to take place and so forth, too. So I think overall, the pipeline is very, very healthy. We made sure that was how we reviewed it last year. We have about 1,800 hotels in the pipeline today, about 40% are under construction. And we will see, again, the gross numbers begin accelerating up into '22 and '23 and '24 and then again driving increase in net rooms growth over that period of time. Going back to avid, so a lot of confidence. So we've got about 200 hotels signed right now, a little more than that. 90 are in planning or under construction, and we think that we'll continue to see a lot of appetite in that segment. It's a very, very low cost to build, high-margin operating model, which delivers really strong returns, which would be quite attractive to owners there, too. And so very, very confident of getting back to that industry-leading net rooms growth. I think the industry will be growing a little bit slower in the coming years. I think everyone will see that. But then it will again focus on the economic activity, the growth and stimulus packages will be benefiting us well. Paul, do you want to pick up dividend?
Paul Edgecliffe-Johnson: Yes. Absolutely. So there aren't any restrictions that are in place with the agreements that we've put in place with the banks around the waivers that would preclude us from paying a dividend. But equally, Jamie, you know us, we are conservative. So we would want to get dividends back on track when it's appropriate to do so, when the company is generating essential amount of free cash flow. And it's like we're looking at all the factors. I think our track record of returning a $13.5 billion-plus to shareholders over the years has shown that when we have cash that we can hand back to the shareholders, whether that's by ordinary dividends or special dividends, we actually do that. And -- so no change really in our thought processes or our philosophy around that, and there's no specific restrictions. In terms of your question around the OTA mix, it's actually down year-on-year. But I think that could give you a slight false read. We spoke at the half year about the fact that more guests, post the start of the pandemic, were booking directly with the hotel. So they're calling up the hotel. So OTA contribution did fall quite sharply then for a while, and it's sort of normalized back towards a more normal level. So in numerical terms, it fell by over 100 basis points year-on-year. But I would imagine that as we go into 2021, it will recover. We like OTA business because it's often incremental for us. And so no issues at all with OTAs. We have good commission rates with them, and they can deliver incremental business into our hotels.
Jamie Rollo: And just coming back on the unit growth. So even if all of those 200 hotels leave the system, you're unlikely to be negative this year. Is that a fair estimate?
Keith Barr: We have to look at it, Jamie, honestly. I think there's a lot of volatility in terms of openings. We still have construction starts restarting right now. There's some supply chain issues as well, too. So I think we can't be really definitive about what the overall growth is going to look like in '21 until we get further into the year and see how can construction reopens in a number of marketplaces and so forth. So again -- but very, very confident about accelerating into '22, into '23.
Jamie Rollo: Okay. So could be negative.
Operator: Our next question is from Vicki Stern of Barclays.
Vicki Stern: Just firstly on the cost savings, the $75 million. I think many of your U.S. peers are suggesting that in light of their cost savings programs, margins are going to come out of all this in a structurally higher place than they went in. Would you say the same is true for IHG? Do you look at that $75 million as something that will be sort of permanent even through the real recovery, when that emerges? Second question, sort of similar really on owner margins. To what extent do you think the sum of reduced brand standards that you've been implementing to preserve profits during COVID will stick and then ultimately potentially enhancing the owner margins as we go into recovery? And then finally, just on your latest thinking really on the structural business travel reductions, and again, sort of quite positive comments coming from the U.S. peers, perhaps less so from some of your European peers on any long-lasting impact from reduced trips as people do more Zooms and the like?
Keith Barr: Paul, why don't you talk about group margin? I'll pick up owners and business travel.
Paul Edgecliffe-Johnson: Yes. Absolutely. So the $75 million of savings were put in place, but they are structural savings. So we would anticipate that those are sustainable, and hence, they would, yes, increase the margin for the group over time. With that said, we always will invest into the business. So if we see an opportunity as things step up over the next few years to invest a little bit more behind our new brands to make them grow even faster, then that's certainly something we will consider to put effectively some of that back into the business to stimulate growth. But absent that, yes, it would be a sustainable step-up in the margins.
Keith Barr: And Vicki, if you go back to kind of the second strategic pillar of customer centricity and thinking about owners, we recognize that the fastest way to accelerate growth is to continue to increase owner returns and which we've been proven time and time again, we've been able to do it in the past. So things like the new Holiday Inn Express room prototype and guestroom design, we've taken the cost to build down by 10%, which is going to drive owner returns. Similarly, we've done that with new prototypes for Candlewood and Staybridge, the new Holiday Inn prototype. So definitely focus on the cost to build so that owners have more confidence to be able to drive long-term returns and then on cost to operate as well, too. So looking at how do we leverage procurement to reduce the cost to operate and then on operating standards, are there things that just don't need to come back in, they continue to drive margins. So we're having regular conversations with our owners and to the owners' associations to look at all the items. Things that we've taken out, think should it go back in, should it go back in the same way? And we're going to have a relentless focus on reducing, again, cost to operate and cost to build because strengthening those returns is going to, again, accelerate our growth and how we can better leverage technology as well too going forward. And in regards to business travel, I was saying the other day, the Mark Twain quote is that his -- the announcement of his death was highly exaggerated. But I think the death of business travel has been exaggerated by a number of pundits out there, people saying it's going to be down 50% or 30%. I think it's going to be impacted on the margin. And the reason is I think some business trips would be replaced by technology, without question. We have less exposure to that, given the core mainstream business that we have, which has a lot more nondiscretionary business travel into it and a high component of leisure travel. We don't have a big exposure to group as well. So I think the vast majority of business travel is going to come back, but it's going to be a measured recovery over a number of years. It's not all going to come back at once because some of these things take years of planning for conventions and conferences and big groups. And travel budgets will gradually increase as people have more and more confidence to travel. So I'm confident in the long term, I'm actually confident the medium-term business travel will come back. And I think there'll be other drivers as well too, speaking to a number of CEOs who are now looking at reducing their office space footprint, they're talking about people working remotely. And so instead of driving the office 5 days a week, they may have to fly in once a month. Additionally, people are talking about having smaller offices and less meeting space as well. And so they're going to have to use hotels as gathering places to do things in the past they've done in their offices, which could be true drivers of demand overall, too. So I think the business recovery will be more robust than people are giving it credit for.
Vicki Stern: Just a follow-up on that. Does any of that change at all your sort of emphasis across the different brands, perhaps brands that -- or brands or locations that you would have been pushing for previously that are less attractive, but conversely, some others that become more attractive post all this?
Keith Barr: I think continuing, as is, leisure. And we saw -- remember, after 9/11 and financial crisis, we saw leisure continue to grow. The one thing I can tell you, there's going to be a surge in leisure travel this year because everyone is tired of being locked into their homes. Who wants to go on holiday? And I think that's going to be a trend to people spending more leisure time. So we'll be looking at picking more resort locations and pivot into that leisure segment a little bit more. So that's an attractive area. There's really no areas that are unattractive right now, I think, other than there's not going to be a lot of big-box urban hotels in the developed markets to be built. But you wouldn't expect that overall. We haven't really been pursuing a lot of those. We've been very much focused on sort of that mainstream select service space is incredibly popular with owners, high returns and then the luxury and the resort space is delivering as well, too. But we round it out with conversions, things like Kimpton and Hotel Indigo and voco are doing really, really well converting, too. So it can kind of a vary a bit from market to market.
Operator: Our next question is from Richard Clarke at Bernstein.
Richard Clarke: Three, if I may? Just completing the circle on margin, just prudently deducting EBIT from revenue on your owned and leased portfolio, it looks like the costs have come down there by $300 million. Is there a bankable opportunity there? I think the $75 million guidance is just on the fee business. So is there an opportunity to save costs there? Second question is just on performance into the start of this year. What are you seeing? And in particular, any impact in Texas? Are you overindexed towards Texas and the storms there? Has that been a positive to you within the first quarter? And then lastly, you said to Jamie that you like OTA business. There's sort of a couple of new players, I guess, in the hotel distribution market with Airbnb distributing more and more hotels and then the Tripadvisor Plus Subscription products. Are these 2 things you would think about leaning into? And your thoughts on their entry into hotel distribution?
Keith Barr: Great. Paul, do you want to pick up the margin question? And I'll pick up performance and then OTA.
Paul Edgecliffe-Johnson: Yes. Thanks. So Richard, yes, in terms of the owned and leased portfolio, certainly we took out significant amounts of cost. I guess I'll have to see as it comes back, whether any of those costs can be permanently removed. Remember, most of our owned and leased portfolio is high-end urban hotels, and they use -- there are expectations as to what we deliver to customers there. And that's super, super important to us. But we are always very cost-focused and want to ensure that we are making the most of our assets. So if there are opportunities, we'll certainly take those, but nothing I can call out specifically today.
Keith Barr: Rich, on performance and more broadly, I mean, what we said, I think, last year holds true today that effectively, you will see domestic recovery have to take place first, being mainstream-led, then as restrictions open up, it will move more into, again, leisure destinations and so forth, groups, meetings and events and then long-haul travel will be probably the last one until borders are reopened. And the principal driver in this is, and I think we all would agree, it's going to be vaccinations because vaccinations will drive easing of restrictions and travel closures and hotel closures as well, too. And so I'm regularly -- the 2 things I look at every single day are the pace of bookings and cancellations across all of our business by every market and the pace of vaccinations across every single developed country right now and seeing how those 2 things converge. Based upon everything you're seeing today from an industry perspective, Q3 and Q4 were broadly similar in the U.S., and I think not a lot has changed heading into Q1 from an industry perspective. And so it really be a second half recovery more likely is what's going to happen as a vaccinations get more broadly distributed and so forth, as places like the U.K. began opening up in June and then Europe later on. And then Asia probably being a bit behind that, if you look at the pace of vaccination and when they're intending to open up and some markets may not open up this year at all. Some markets -- some countries may keep their borders closed through the entirety of '21. So I think it's going to be -- or we are definitely entering a recovery year. I think it's going to be a phased recovery overall. In regards to Texas, I know that the industry is benefiting from Texas -- from the horrible events that have happened with the number of people that have been displaced out of their homes into hotels. We -- I haven't looked at the specific impact on our numbers to date yet, but I know it is impacting the industry on a positive and a negative way because there's people couldn't travel that wanted to travel, but people have been displaced out of their homes and sheltered and that could have a longer-term impact too, depending upon the extent of the damage and the insurance recovery and construction. But more on that as we get further into the year. And OTAs. We have a very strong relationship with Bookings and Expedia, and we traditionally had very, very strategic conversations with them expanding. We haven't had a relationship with Airbnb, and there's been a reason for that in that we believe in a consistent delivery of a guest experience and brands. And while Airbnb is another platform for that, it's a bit in contradiction to what we've been trying to achieve, so we haven't explored it. And the same thing with the Tripadvisor Plus, I think that the teams are evaluating it. I'm not sure where we've progressed on that overall. But as Paul pointed out, we saw 100 basis point drop in our OTA contribution last year, just to the nature of how travel evolved with more hotel-direct business, and it probably will normalize this year as more leisure comes back and travel restrictions open up.
Operator: Our next question is from Alex Brignall of Redburn.
Alex Brignall: Just -- I just have one really. On distribution and loyalty. So 2020 has obviously been a very strange year just because the denominator was so unusual and low. But yourselves, Marriott, Hilton and Hyatt all showed loyalty contribution kind of going down. I thought yours might be a little bit more resilient just because of the nature of the business travel that you have, more on a lower end, to not be rude about it. Can you just talk about what the main factors were within that? And how -- does that bounce back with a normal recovery? Does it stay a bit lower? And what does that -- what are the kind of derivative impacts that, that can have going forward?
Keith Barr: Our view is that it's going to come back and normalize over time. Because effectively, if you kind of break into a couple of different segments, you've kind of got this discretionary business travel, nondiscretionary business travel. The nondiscretionary continued on, a lot of the discretionary went away, and that's part of our loyalty contribution. They're in -- there are loyalty members who, last year, didn't stay with us, only maybe a handful of nights. The previous year would have been with us 50 or 75 nights. So we did lose out on that discretionary business traveler, which will come back over time. And leisure continued on. And a lot of the leisure customer, it's a good -- it's a mixed -- some are loyalty members, but some are just infrequent and nonbrand loyal and not big loyalty members, too. So really, it's just a mix of business effect driving loyalty contribution, which we think should normalize itself in the coming years.
Alex Brignall: And if I guess, we just -- you seem to be a little bit more bullish on business than many others. But if we took a view that the share of leisure increased overall, would that lend itself away from direct distribution on balance? The OTAs typically say that they contribute more of the leisure booking than the business booking, is that a real factor? Or is the nature of your hotel mix different in where your leisure bookings come from?
Keith Barr: It's hard to project that, to be very open with you, given how the leisure traveler is going to continue to evolve. I would expect our mix to broadly stay the same when we normalize. But again -- and when I talk about normalize, it's a couple of years until we normalize this industry in terms of this. Like I think business travel is going to come back. It's going to take a few years for it to come back. I think leisure travel is going to continue, and then things will begin normalizing in that mix of business in future years. So I think you have to sort of look at '21 and '22, at least, as significant transition years out of the pandemic. We'll see, touch wood, if everything goes according to plan and vaccines work, significant uptick in RevPAR over the next couple of years as an industry. You will see that business travel, groups meetings, conferences and events come back in that will drive direct bookings in there, too. So I hate to be -- I'm not trying to be evasive, but I think it's really hard to measure what the impact is going to be in the next 2 years on some of these metrics because of the nature of how the revenue is going to recover and what segments recover when.
Operator: Our next question is from Leo Carrington of Credit Suisse.
Leo Carrington: First of all, on the incentive fees, some were still earned in all regions in 2020 despite the demand mix being weaker in the managed portfolio. Is -- Paul, can you outline the mechanics behind these incentives in terms of occupancy or sort of RevPAR and help us understand how they might develop in 2021, probably in relation to a RevPAR recovery in a number of scenarios? And second question, you mentioned your cost savings are while investing for growth. Do you have anything specifically in mind here to take advantage of changing competitive landscapes or is this about the voco rollout, the attribute-based pricing and so on?
Keith Barr: Paul, do you want to pick up on incentive fees, and I'll talk about attribute pricing?
Paul Edgecliffe-Johnson: Yes. Absolutely. So I mean the incentive fees, we saw come back particularly in the second half in China. Most of the contracts in China is a fairly similar contract where you have a share of revenues and then you go share of gross operating profit at the hotel. In other parts of the world, the contracts are sometimes a little bit more structured, so you might get a share of revenues as your base fee, call it a franchisee fee. And then sometimes here, you will have on owned priority return, so you don't get your incentive fee until there's a certain level of profit achieved by the owner. So a bit more -- so operational leverage in those fees there. So we particularly called out the incentive fees coming back in China. Elsewhere, to a minimal extent, they will come back as the profitability of the managed hotels recovers.
Keith Barr: Great. I guess a couple of things. I'll talk about GRS briefly and attribute pricing. And so as you know, we are launching what we would call version 2 of our guest reservation system under IHG Concerto, which is attribute-based pricing. And so we piloted that -- alpha-ed and betas last year. We piloted at the beginning of this year. We're just finishing up the pilot and begin -- plan to begin scaling it up globally going forward and having it completed by the end of this year. It's a ramping up, though, in terms of the rollout. So the vast majority of the rollout happens in the second half of the year into the fourth quarter this year. And then that will enable us to bring attributes to life through our direct channels, nonroom inventory and so forth, too. And that will add incremental revenue to our owners that they currently -- in terms of how we price and how we market by leveraging those attributes and which will be a great experience for our customers overall, too. And then in terms of voco, what was your specific tie-in to voco on that?
Leo Carrington: Well, it's the cost -- the investing for growth was marketing that and building it out with -- building out the brand with new owners.
Keith Barr: So we have a number -- so in each one of the initiatives for growth. So you look at voco, which we launched in 2018, has about 50 hotels open in the pipeline. avid, we launched in 2017, about 200 hotels opened in pipeline. And Atwell, now we have about 19 hotels signed. In each one of those, we're investing on P&L, a set of funds to help develop those hotels, have the teams working on building them, rolling them out and then initially supporting them. As they mature, those costs roll over into the system fund, which creates a bit of a virtuous circle for us in terms of being able to reinvest for growth over time. So as a new brand that we launch organically matures, effectively the costs go down on the P&L. They move over to the system fund because it's marketing dollars coming in there on the fund. And again, our focus right now is going to be on leveraging brands like voco for conversions because they were significant brands built for that. But also, we're launching conversions in Six Senses and we have InterContinentals, we have Kimpton. I'm telling you guys, we have a wide variety of brands now that are easily converted into that high value for our owners.
Operator: Our next question is from Tim Barrett at Numis.
Tim Barrett: I was looking for a bit more color, so two things. You talked about the average or the kind of median owner having only 2 to 3 sites. But can you just talk a little bit around the shape of your owner base and whether there's any big multiples left similar to SVC or Eagle Hospitality Trust, those kind of people that you're worried about for 2021? And a similar question around owner finances. Many of them are still burning cash, I guess, at 40% occupancy. What's your general feeling for how their balance sheets look right now?
Keith Barr: Thank you. Paul, do you want to pick those ones up?
Paul Edgecliffe-Johnson: Sure. Now that the SVC contract has gone away, the biggest business -- biggest owner we have in the U.S. has fewer than 10 hotels with us. And around the world, I mean, it's a similar picture. It is very broadly distributed, which is one of the massive strengths of the model. We have thousands of owners who are doing everything they can to make their hotels as successful as they can be and putting their attention onto it. But in terms of portfolios that we could lose going forward, there's really almost nothing of scale. In terms of owner finances, yes, as you point out, owners have been very focused on shoring up their balance sheets and making sure that they're not losing cash in their hotels. And they have managed to bring down the GOP margins they need to achieve to be at breakeven quite significantly through the year with our support and help. The stimulus packages that have been put out in the U.S. have helped significantly with that, the PPP schemes, the grants there that will help subsidize employee wages, et cetera. That's been a big thing, something that we have lobbied for. And as part of an industry task force, we've spoken to White House as to the need for our owners there, given that we are such a huge employer in the U.S. as an industry and as a company. And so that has been a support. But it will continue to be tough for owners. You will remember that we put in place, at the start of the pandemic, measures that helped our owners out, and that was very much supported. So it's been really good to see that they have continued to have enough financial wherewithal to pay us. And our payments are very much current, as I noted in my prepared remarks, where over 90% of our payments from the U.S. owners are within 90 days and 85% within 45 days or so. So -- but that's one of the key things that we continue to monitor. If an owner can't pay us, it's an indication they may be in some sort of financial distress, then we talk to them.
Operator: Our next question is from Andre Juillard of Deutsche Bank.
Andre Juillard: Two questions, if I may, on my side. The first one is about the saving plan and the $75 million you're expecting to be structural. Could you give us some more color on where they are coming from and how you expect them to be permanent out of additional investment you have eventually mentioned? And the second question is about the development and the pipeline. Considering that you mentioned that there would be a focus on midscale short term. But regarding the upscale segment and luxury segment, which should continue to be impacted and negatively impacted in the next few months, what is your perception? And are you still confident to continue all the developments you have signed?
Keith Barr: Thank you. Paul, do you want to talk about the structural savings of $75 million? And I'll talk about development.
Paul Edgecliffe-Johnson: Absolutely. Andre, so you'll remember that in 2020, we took out $150 million of cost, and that was addressing every cost category in the business, frankly. We reduced the salaries of everybody in the business. And some people, sadly, yes, had to leave the business as we looked at how we could do things more efficiently. And we reduced down all discretionary spend in the business and reduced down our travel spend, and our corporate bonus scheme didn't pay out in 2020. As we look forward into 2021, we're keeping many of those reductions. We have put salaries back up to prepandemic levels, and we are anticipating and certainly hoping that our bonus plan will pay this year. And that drives a level of cost increases versus 2020. We're also reinstating investments to the full level that we had before behind the new brands, as people are just talking about, say, behind voco, avid, Atwell, Six Senses, et cetera, et cetera, to stimulate additional growth. So the combination of all that leads us to being at a $75 million lower cost base than we were back in 2019.
Keith Barr: Great. Okay. In terms of development, I think there's still very, very strong demand in luxury and lifestyle right now. And so we signed last year 56 hotels in the luxury and lifestyle segment, 7 amazing Six Senses hotels, taking Kimpton to new markets internationally. And I think it's just due to the long-term nature of asset ownership in the space where these hotels are being built for -- to be owned for 40, 50, 60 years. And owners who have the property and are seeing through the pandemic and seeing through the returns that they can make, so they're continuing to invest into some -- very, very confident, particularly in the resort space, it's going to continue to move ahead and select luxury and lifestyle urban projects and particularly in maybe in the more developing markets overall, and then midscale being, again, the thing that will restart the growth engine of the company base -- the growth engine of the company will continue to accelerate going forward. So I think that we definitely -- we will see a lot taking us in that place, and the demand for our brands has probably never been any higher than today.
Andre Juillard: Okay. And maybe as a follow-up question on this side. You've been buying some brands for the past few years, and I think that Six Senses especially was a great acquisition. Do you see any brands being in the market under difficulty or not at the moment and being potential targets for consolidation?
Keith Barr: I -- we don't ever comment specifically on M&A, but let me talk more broadly. I think that there will be some brands in the market that come to market in the next year potentially because they are under significant pressure potentially due to their geographic mix or asset ownership base and so forth. We're just very focused on organic growth. If you look at how we have rounded out the brand portfolio since I became Chief Executive with this team, we've added Regent, we've added Six Senses, we've taken Kimpton international, we've got avid, we've got Atwell, we've got voco. We filled the rungs on the ladder that we needed, and we'll look to continually organically grow this business. We will always look at inorganic if it makes sense for shareholders. But right now, I think we've got a comprehensive brand portfolio that will lead us through the recovery and to an acceleration in growth in future years in the industry.
Operator: We do have one further question.  Our next question is from Ivor Jones of Peel Hunt.
Ivor Jones: Just back to the 200 hotels on the naughty step. Was their fee income in 2020 proportional to the level in 2019? What did they earn in 2019? Secondly, things like book later and free cancellations, are they temporary? Or do you think they're now permanently part of the industry? And does it matter? Does it imply higher occupancy and lower price in the recovery? And finally, I think I understand this, but when you talk about discounted Reward Nights, does that imply that the system funds are overfunded with funds to redemption Reward Nights? And is there an opportunity to transfer cash out of the fund to the group? Or does that not matter?
Keith Barr: Paul, do you want to pick up the 2019 fee base and then the Reward Night question?
Paul Edgecliffe-Johnson: Yes. Sure. I mean, broadly, the -- so for 2020 fee impact, it would be $20 million, you'd be talking about $40 million or so on a 2019 basis, given what happened to RevPAR, so about double it. And then in terms of the dynamic pricing, which I think is what you're referring to on the Reward Night, this is just looking and saying, rather than it being a fixed number of points to buy a room throughout the year, it's more looking at what would be -- if you're buying it with pounds, what would it cost you?  And then creating the number of points to that, so that it fluctuates with the seasonality and the demand there. So it's just making it say -- I mean, more valuable points for our membership base. So no, it doesn't free up anything in the rewards program. It just makes it more valuable for our members.
Keith Barr: Great. Thanks, Paul. I guess your second question about Book Now, Pay Later, free cancellation, it's more philosophical. What we're trying to do now is give customers the confidence to travel again when they're ready to travel again, so making sure we've got the right operating processes and standards and cleaning features in the hotel, so they have a great, safe stay and have just confidence to book. And so we put these things in place now so that customers go, you know what, I want to be able to book now, stay with an IHG hotel because I know if I can't travel, if government restrictions come into play, I can cancel. So we're just trying to capture as much available demand as we can right now. We don't think it's having an impact on pricing. We've adjusted our revenue management systems pretty dynamically this year to make sure we're focusing on driving rate as the recovery returns. And as business returns to normal in future years, we'll be putting more restrictions back into place on the consumers. But right now, we just want to do the right thing by them and give them the confidence to travel.
Operator: We have no further questions. So I'll hand back to our host.
Keith Barr: Excellent. Well, thanks, everyone. Really do appreciate you taking the time to spend with Paul and I. Look forward to catching up with some of you, I'm sure, individually, as the time goes on and with our shareholders. I'd like to say, again, it's -- incredibly proud of the team and what they've accomplished in 2020. The way they managed the crisis, the way they managed the finances, the way they looked after people, it's pretty extraordinary. And I give them a huge amount of credit for being a very, very strong executive team, very focused now on getting our owners through the recovery, capturing our fair share of demand and more than our fair share of demand and then accelerating back into growth while continuing to strengthen our brand portfolio, which we've proven time and time again we can do, and we will go back to that industry-leading growth in terms of rooms in the future, too. So on May 7 is our Q1 date. So look forward to catching up with you all then. And until then, Stuart, unless you have anything else, everyone, please stay safe and look forward to us all having a bit more of a normal life as vaccines continue to scale up. So Stuart, anything else?
Stuart Ford: Nothing else for me. Maybe, thanks, Steve. Thanks, Paul. Thanks all for joining the call.
Paul Edgecliffe-Johnson: Thanks, everyone.